Operator: Good day, and welcome to the Evolution Petroleum Corporation Second Quarter Fiscal 2015 Earnings Release Conference Call and Webcast [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to David Joe, Vice President and Controller. Please go ahead, sir.
David Joe: Good morning, and thank you for listening to Evolution Petroleum's conference call to discuss operating and financial results for its second fiscal quarter ended December 31, 2014. I am David Joe, Vice President and Controller for Evolution. On the call today is Bob Herlin, our Chairman and CEO; and Randy Keys, our President and CFO. Before we begin, let's cover the basics. If you would like to be on the company's e-mail distribution list to receive future news releases, please contact the company. Information is on our news release or on our website. If you wish to listen to a replay of today's call, it will be available shortly by going to the company's website at www.evolutionpetroleum.com or via recorded telephone replay until February 13, 2015. The necessary information can be found in the earnings release. Please note that any statements and information provided today are time-sensitive and may not be accurate at a later date. Our discussion today may contain forward-looking statements that are based on management's beliefs and assumptions that are based on currently available information. We can give no assurance that such forward-looking statements will prove to be correct as they are subject to risks and uncertainties that are listed and described in our filings with the SEC. Actual results may differ materially from those expected. Our discussion also may include discussions of other categories of reserves besides proved reserves, such as probable, possible or potential reserves or recovery. Such estimates of non-proved reserves are more speculative than proved reserves. Since detailed numbers are readily available to everyone in yesterdays news release, this call will focus on key overall results, operations and capital plans for fiscal '15 and '16. We're pleased to be reporting for the first time financial and operating results that are inclusive of our reversionary working interest at Delhi Field, which became effective on November 1, 2014. In summary, our working interest ownership is 23.9% and the associated net revenue interest is 19.03%. Combined with our previously and separately owned royalty, and overriding royalty interest of 7.405%, our total net revenue interest in the field is 26.4%. In this quarter ended December 31, '14 our financial and operating results will include only 2 months of Delhi working interest and increased revenue interest. Our Delhi asset continues to generate value for the company. In the current quarter ended, Delhi Field margin was $1.9 million. This is based on 2 months of working interest revenues of $4.7 million less operating expenses of $2.8 million, of which approximately 61% or $1.7 million is directly related to CO2 purchases and CO2 transportation expense. Per our contract, the agreed cost for CO2 delivered to the field is equal to 1% of the price of oil sold from Delhi, as determined each month, plus a fixed transportation cost of $0.20 per standard MCF. Accordingly, if oil prices remain low, at least a significant portion of our Delhi production cost will correspondingly be low. It should be noted that the operator had purchased more CO2 in the last couple months of this quarter, November, December, as planned and will dial that back in this current quarter. With our increased share of Delhi volumes, our DD&A expense will correspondingly be higher. In the current quarter, depletion expense increased $441,000 due to increased Delhi volumes based on the current rate of $6.32 per BOE. Lastly, with respect to Delhi, in late January, Denbury withheld payment of 2.89% of our overriding royalty interest in the field. This unilateral suspension of apportion of our override was made without consultation with the company and we believe is without legal basis. Accordingly, the company will continue to aggressively defend its property using all legal remedies and rights available to us. The Board of Directors has approved a cash dividend to common shareholders in the amount of $0.05 per share payable on March 31, 2015 to shareholders of record as of March 16, 2015. The reduction in the dividend rate will allow the company to conserve cash for additional financial flexibility to pursue opportunities, while continuing to reward shareholders with a yield of near 2.5% at current stock levels. In closing, at December 31, 2014, the company had total liquidity of approximately $26 million, which includes $21 million of working capital and $5 million of availability on a current revolving unsecured credit line. The company remains debt free. We believe that current liquidity, combined with expected operating cash flows, will be more than sufficient to fund the company's capital budgets for fiscal years 2015 and 2016. With that, I'm going to turn the call over to Randy Keys, President and CFO.
Randall D. Keys: Thank you, David. In the Delhi Field, we began paying our 23.9% share of operating and capital cost effective November 1 post reversion. We incurred approximately $1.5 million of net capital cost during the past 2 months, as the operator resumes spending after deferring most capital expenditures in the field for the past 18 months, prior to reversion. And the spending covered a number of projects in the field ranging from drilling a replacement well to recompletions and flow line replacement to remedial plugging and abandonment operations, most of which were directed toward expansion of the field to the eastern half into test site 5. However, last November, the operator announced a 50% reduction in their 2015 capital spending plans from an original budget of $1.1 billion to approximately $550 million. Included in this change was a delay in expanding the flood in the Delhi Field to the remaining 2 test sites on the eastern half of the field. These projects have been deferred until at least 2016, based on the operator's current plans. Fortunately, the recycle gas plant remains in the operator's budget, and we expect to complete our detailed review of the project and the authorization for expenditures in the next few weeks. The scope of this project has been expanded to use the methane produced by the plant to generate electricity for the operation of the field. This is expected to significantly reduce purchased energy cost in the field, which is one of the largest components of lifting cost after CO2 purchases. Additionally, the current plans include a higher initial capital investment by the working interest owners, offset by a substantial reduction in operating costs going forward. We now expect the plant to have a total cost of approximately $100 million, with our share totaling approximately $24 million. This spending will occur over an estimated 18-month period with installation expected to be complete in the middle of 2016. We are still gaining an understanding of how that spending is going to occur by quarter, and we will expect to get more clarity on that issue in the next couple of months as the -- the plans become finalized by the operator. Both we and the operator believe the recycle gas plant has favorable economics, even in this lower price environment, but further, the plant has a compelling benefit for the efficiency of the flood, by removing the lighter methane from the recycle CO2 stream. On the GARP front. We see benefits for this technology in the current downturn as drilling slows and operators must deal with the rapid decline curves associated with many of their recent horizontal Wells. We expect that this price correction will help focus more attention on production, as opposed to drilling, and is ultimately expected to help our marketing efforts. However, in the short run with budgets under extreme pressure, we understand that all activity is slowing down, and it will be difficult to get operators to invest new capital in their producing wells. Our recent financial results from GARP had been less than favorable, certainly than we had hoped. The economics of the wells be targeted for our GARP installations, both in our own portfolio and for our third-party customer, have suffered from the decline in both oil and gas prices and from high work-over cost. We had already started an initiative last fall to focus on the benefits of GARP in higher rate wells, this will remain a key part of our marketing activities, as we see the effects of this price correction play out over the coming months. We remain convinced of the advantages of GARP to the industry and believe we will ultimately succeed in commercializing this important production technology. So with that, I'm going to turn the call over to Bob Herlin, Chairman and CEO. Bob?
Robert Stevens Herlin: Thanks, Randy. We are living in interesting times as the old curse goes. Fortunately, we reverted into our 24% working interest at Delhi in November, and more than tripled our net production, and that didn't cost us any capital, but the drop in oil prices is still a major consideration in our strategic thinking. At the end of 2013, we changed our strategy and began returning a portion of our free cash flow to shareholders, in large part due to high oil prices that made then available investment opportunities appear inordinately risky. More than a year later, those circumstances have changed. Low oil and gas prices that may well stay with us through this year and into next year could generate attractive opportunities for us to add developed preserves, value to current commodity prices, added substantial upside potential, assuming a modest increase in commodity prices and diversify our sources of revenue. We want to be in a position to consider these kinds of opportunities as they may arise, which means maintaining good liquidity and a clean balance sheet. We also believe that these are likely to be niche opportunities, primarily to negotiate corporate acquisitions and not property auctions. Any transaction within this kind of a strategy, however, will have to result in a material improvement in the value of our shares. In addition, this drop in oil price further than we expected has reduced our free cash flow, as has Denbury's unjustified suspension of a portion of our override royalty revenue. Given these factors, likely continued volatility in oil price and the absolute need to meet our share of growth capital expenditure to Delhi, they are projected to substantially increase production cash flow in 2016 with further growth through the end of this decade. The board believe that -- or believes that it's only prudent to reduce the cash dividend paid to common shares at this time. As the largest noninstitutional shareholder, I share the pain of any cut dividend, and we didn't do this lightly. But I am also excited by the opportunities that may come our way in 2015 as well as projected growth at Delhi over the coming years and the progress in our artificial lift business. So with that, operator, we're now open to take questions.
Operator: [Operator Instructions] We have a question from Bruce Brown, Brown Capital Management.
Bruce Brown: The question I have is, what's the status at this point of the reversionary working interest litigation or surrounding the data of the -- the estimated date of the reversion of that particular litigation?
Robert Stevens Herlin: Well, again, the reversion date's already occurred. So we already have the working interest in our hands. The litigation is ongoing, it's obviously something that we really can't talk about. It is schedule for trial this year. We're in discovery phase, or we're trying to get to discovery phase. That's really about all we can talk about. This is again, a case we filed against Denbury about a year ago for breach of contract. And that's really about all I can say at this time.
Bruce Brown: Do you anticipate the trial occurring sometime in the second half of the year, if it happens?
Robert Stevens Herlin: It's currently scheduled for the summer.
Operator: [Operator Instructions] Our next question is from Joel Musante, Euro Pacific Capital.
Joel P. Musante - Euro Pacific Capital, Inc., Research Division: Do guys have any information on potential insurance payment and payout for that remediation effort that was done at Delhi?
Robert Stevens Herlin: That really is part of the ongoing litigation, so again, it's not something that we can really talk about at this time. So I guess, I just don't -- I don't know anything, let's put it that way.
Joel P. Musante - Euro Pacific Capital, Inc., Research Division: All right. On the overriding royalty interest, I know that's part of the litigation, but just remind me, when you bought that, that was a separate transaction. That wasn't related to Denbury at all, was it?
Robert Stevens Herlin: Correct. The overrides that we own, overrides and [indiscernible]royalties that we own were all purchased from third parties, had nothing to do with Denbury. Those interests were explicitly excluded from the transaction, and we've been paid revenues on those royalty interest since 2006.
Joel P. Musante - Euro Pacific Capital, Inc., Research Division: Okay, all right. And just, I guess, could you give me a little more -- around your efforts for GARP at this point, do you have anything in the works, any discussions with potential companies, or is that -- or is the industry just kind of looking in a different direction at this point given where prices are?
Randall D. Keys: No, Joel. I'll take that. This is Randy. We actually have 2 -- we have 2 contracts that are at the MSA stage, so the Master Service Agreement stage, and we have a 3rd that is progressing toward that. It is a long cycle process to convince people to put these in their wells, but we are well along with 2 new customers. And we still see some opportunities with the customer that we did the first 5 well program for. So no, we have seen a slowdown, we saw it kind of a natural slowdown in marketing between Thanksgiving and Christmas, just that time of year is generally a slow time. But we do see interest. I think that many of our customers are in a state of shock based on this rapid decline in oil prices. They do -- oil and gas companies do tend to freeze and react very quickly with capital budget cuts, and -- but we think that will turn around and certainly, there is going to be more focus on maintaining production and cash flow, and we can help with that process with our technology. So I think on balance, we probably see some short-term slowdowns and perhaps a better environment going into the spring.
Joel P. Musante - Euro Pacific Capital, Inc., Research Division: Okay. And you made a comment -- I just wanted -- maybe you can clarify on the opening comments that you were going to focus on more -- I'm not -- I can't remember the term exactly, but more productive wells or...
Randall D. Keys: Yes. And actually what we're -- the unfortunate thing is that we had focused -- or one of the applications of GARP from marginal wells taking them from a single digit production rate into 10 or 12 -- 8, 10, 12 barrels a day. In today's current price environment, those wells cannot support the incremental cost of GARP. So an 8, 10, 12 barrel a day well is probably marginally or uneconomic, either marginally economic or uneconomic, depending on what price you use. If you -- certainly if you use $40 or $50 a barrel. So we're looking at wells where we can add 10 or 20 barrels a day of production to a well that's already producing -- maybe already producing 20 or 30 barrels a day or more. And the cost is certainly much easier to spread, if you got a higher base of production. And we do see opportunities in those wells. And frankly, that's where we're focusing more of our activity because we do see very marginal economics on the low end of the production range, the classic stripper wells.
Operator: Our next question is Chris McCampbell, Alpha Securities (sic) [Southwest Securities].
Christopher Vaughn Mccampbell: Could you all give me a little bit more color on maybe where you are in appraising different opportunities out there and just kind of a broad answer on what it is you're looking for, I mean the types of properties?
Robert Stevens Herlin: It's -- we're not going to be participating with everybody in property auctions, that's just not what we do. What we're doing is we're more interested, and -- we don't have anything ongoing -- let me just put that way. We're just saying that we think that the opportunities are going to present themselves during the course of 2015. Probably not right now, but as we get into the year, we're going to see some opportunities. But more than likely they're going to be more along those lines of the corporate type of a purchase, either public or private. Companies that are too small, that they've lost market interest and the prospects for growth are limited because of inability to access the capital Markets. And so someone like us that does have some liquidity in the market, does have liquidity financially and a clean balance sheet and excellent collateral base, would be in a position to bring to the table a lot of value to that situation. And to our benefit, we would add diversity to our asset to revenue stream, as well as add considerable upside as prices recover as we expect it. So other than that, it's hard to really -- to say specifically, other than to say that we don't have anything in the hopper, so to speak.
Christopher Vaughn Mccampbell: Well, you've got lot of capital outlays that you're trying to plan around. And it’s got to be hard, but the operator -- I don't know what operator is doing, but can you quantify maybe the size of the deals that you're thinking you might be able to do.
Robert Stevens Herlin: It would be something that would be meaningful, material to the company, but not so big, to just dwarf what we have. It's just -- it's really hard to describe because the situations are going to be -- each one is going to be different and will have its own arguments for and against. And the one thing I can be very sure about, since I am one of the largest shareholders, is that nothing we do is going to dilute the value this year. We're only looking at ways to significantly increase the value of our shares that make sense strategically.
Operator: Having no further questions, this concludes our question-and-answer session. I would like to turn the conference back to Bob Herlin for any closing remarks.
Robert Stevens Herlin: Okay. I appreciate you guys listening in. If you have any further questions, feel free to call us for any explanations of the comments that we made today. Clearly, we had some great -- good news happen to us this quarter with reversion. Obviously, the bad news is oil prices are obviously affecting all of us. Fortunately, our conservative financial approach has left us in a very good and very strong financial position going forward, and we're excited about the opportunities that are out there, and we're confident in our ability to weather this volatile times, as well as or better than everyone else in our peer group. So thanks, again and we'll talk again next quarter.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.